Operator: Good day, ladies and gentlemen and welcome to the Alcobra Second Quarter 2014 Business Update. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will fill follow at that time. (Operator Instructions) As a reminder, this conference call is being recorded. I’d now like to turn the conference over to Mr. Michael Wood of LifeSci Advisors. Sir, you may begin.
Michael Wood: Good morning and thank you. Before the market opened this morning, Alcobra announced financial results for the second quarter ended June 30, 2014. If you've not yet received this news release or if you would like to be added to the company's distribution list, please call LifeSci Advisors in New York at 646-597-6979 and speak with Veronica Molina. Before we begin, let me remind you that this conference call will contain forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 and other federal securities laws. Because such statements deal with future events and are based on Alcobra’s current expectations, they are subject to various risks and uncertainties. Actual results, performance or achievements of Alcobra could differ materially from those described and/or implied by the statements on this conference call. For example, forward-looking statements include statements that Alcobra is expecting to receive multiple data readouts, timing of receipt of such data readouts, statements that imply Alcobra or receive favorable results in clinical trials of MDX, and timing of completion of clinical trials and receipt of results and reporting thereof. Statements regarding the design, timing of initiation of dosing and successful completion of enrollments in the company’s clinical trials if such trials are commenced at all, statements regarding the sufficiency of the company’s financial resources to be at certain milestones and whether such milestones may be achieved at all and the potential size of the MDX market. In addition, historical results or conclusions from scientific research do not guarantee that future results would not suggest different conclusions or that historical results referred to on this call could be interpreted differently in light of additional research or otherwise. The forward-looking statements contained or implied in this call are subject to other risks and uncertainties, including those described under the headline Risk Factors in Alcobra Ltd.’s annual report on Form 20-F for the fiscal year ended December 31, 2013, filed with the Securities Exchange Commission and in subsequent filings with the SEC. Except as otherwise required by law, Alcobra disclaims any intention or obligation to update or revise any forward-looking statements, which speak only as of the date of this call, whether as a result of new information, future events or circumstances or otherwise. Hosting today's call from Alcobra's senior management are Dr. Yaron Daniely, President and Chief Executive Officer, Dr. Tomer Berkovitz, Chief Financial Officer and Dr. Jonathan Rubin, Chief Medical Officer. It is now my pleasure to turn the call over to Yaron. Please go ahead.
Yaron Daniely: Thanks Michael, and to those of you joining us today, thank you for participating. This is a very exciting time for Alcobra and its shareholders as we expect to have major clinical readouts in multiple placebo controlled studies before the end of this year. Following my corporate overview, I'll turn it over to Tomer for a review of the Q2 financials and then hand over the call to Jonathan to walk you through exciting new neuroimaging data, we've recently generated, but let me start with an update on our Phase III study of adult ADHD. In mid July, we announced the completion of enrollment in our Phase III clinical trial of MDX in adult ADHD patients. We're extremely pleased with our progress on this program as we completed enrollment of 300 patients in just four months. We congratulate our investigators for their rapid and meticulous job and thank all patients who participated in the trial. This Phase III study was a randomized placebo-controlled trial conducted at 18 sites in the U.S. and two in Israel. Patients who randomized to receive either MDX or placebo for six weeks, proceeded by a two weeks screening period and followed by a two-week safety follow-up period. The primary endpoint was the Conners' Adult ADHD Rating Scale or CARS. This the same endpoint we used in our successful 120 subject Phase 2b study and one of few FDA approved clinical endpoints in adult ADHD Phase III clinical trial. We've also predefined a key secondary analysis looking at the same primary endpoint in the predominantly inattentive or PI ADHD population subset. You may recall that our Phase 2b study show this subset responded very favorably to MDX with a high effect size and higher response rate than the combined type ADHD subset. In addition, the trial included multiple secondary endpoints in order to measure attention, executive function, quality of life, safety and tolerability. Of note, the patient mix in this study is very close to what was enrolled in our previous 120 patient Phase 2b study. As you may recall, we agreed with the FDA to set a floor level of 33% predominantly in attentive ADHD subjects in the trial. In fact, as enrollment is now complete, I can inform you that we have enrolled 116 PI ADHD patients in the study, which is approximately 39% in line with a true prevalence of this population and other Phase III clinical studies of approved ADHD pharmacotherapy as well as the numbers we previously saw in our Phase 2b study. In addition, the trial enrolled 215 subjects in the U.S. and 85% subjects in Israel and slightly over 50% of subjects in that trial were females. The powering of this Phase III trial allows detection of effect on the primary and key secondary endpoints that were conservatively projected based on the observed effects in the previous Phase 2b study, where the effect size was observed in the previous study were 0.4 and 0.9 for the overall ADHD population and the PI ADHD population respectively. This trial is powered to show statistical significance with more modest effect size of 0.3 and 0.6 respectively. We're extremely pleased with the conduct of this study and our plan remains to report topline results later this quarter. Turning to our Phase 2b Fragile X study in adolescence in adults, I am pleased to announce that we've begun screening in multiple sites and anticipate dosing of the first patient in this trial in the very near future. This is a multicenter randomized placebo-controlled study that is being conducted in 11 clinical sites, 10 in the U.S. and one in Israel. This six-week trial will compare MDX with placebo in 60 adolescence and adult subject with Fragile X syndrome following clinical and cognitive symptoms using various approved scales as neuropsychiatric evaluation. Adding to robust preclinical data in the Fragile X mouse model, demonstrating significant improvements in learning, social and cognitive functions, we've previously published mechanistic data, supporting MDX modulation of the GABA glutamate circuit and its rapid and significant effect on intentional capabilities in the ADHD population. Given the clinical, preclinical and mechanistic evidence to date, we are excited to see this trial begin enrolling patients shortly. We are highly committed to this development program, particularly given the advanced phase of development of MDX compared to other Fragile X drug candidates to date and the lack of any FDA approved medications to treat this orphan disease. We remain on track to complete enrollment of this trial in the fourth quarter. We also commenced our Phase 2b trial of adolescence ADHD. This is a double blind parallel design placebo-controlled multicenter study in 82 subjects. We've designed this study with the goal of evaluating PK tolerability and safety as primary endpoints and collecting data on efficacy as secondary endpoint. We expect to dose our first patient later this month and to fully enroll the trial before the end of the year. We plan to follow this study with a Phase III trial in 2015. Now let me spend a minute providing you some important highlights from last month's investor's meeting during which our management team shared the results of three primary market research studies and analysis of IMS third party data relating to the ADHD market and the opportunity for MDX in this market. In 2013, the total ADHD pharmaceutical sales in the U.S. surpassed $8 billion with just over 60 million prescriptions filled for ADHD medication. Interestingly, about half of these prescriptions were for adults. This reflects a trend that we've continued to monitor in recent years and when the adult segment of the market is growing at our 10% per year, versus only 2% to 3% annual growth for the pediatric segment. Our study of physicians who treat adult ADHD indicates that new non-stimulant drugs with low abuse potential is the single greatest unmet need in the treatment of ADHD today. Not surprisingly then when exposed to a blinded profile of MDX, physicians expressed a strong interest in using the product if available. Based on the data, which was presented at the Investor's meeting and is available as a webcast on our website, we project sales of $2.2 billion for MDX in ADHD alone in 2022 if approved by FDA. This concludes my update, let me turn the call over to Tomer now to present our Q2 financial statement.
Tomer Berkovitz: Thank you, Yaron and thank you to our shareholders for joining us. Today we'll be comparing second quarter 2014 to first quarter 2014 results unless otherwise stated. Total operating expenses for the first quarter of 2014 were $7.8 million similar to the previous quarter, netting out non-cash charges for stock-based compensation of $0.9 million this quarter and $1.3 million in the previous quarter, result in net operating expense of $6.9 million this quarter, compared to $6.5 million in the previous quarter. Research and development expenses were $5.9 million for the second quarter of 2014 compared to $5.5 million in the previous quarter. This increase was driven by the progress in our Phase III adult ADHD clinical trial. Pre-commercialization expenses were $0.6 million this quarter, compared to $0.5 million in the previous quarter and G&A expenses declined to $1.3 million this quarter from $1.8 million in the previous quarter. Finally our liquidity position as of June 30 was $38.9 million, which includes $6.9 million in cash and cash equivalents as well as $32 million in short-term deposit. This is compared to total liquidity of $44.4 million as of the end of the first quarter. So net cash used this quarter was $5.5 million compared to $5.7 million in the previous quarter. The company's solid financial position allows us to move forward with the plan filed in adult and pediatric ADHD and in Fragile X both this year and in 2015. I’ll now turn over the call back to Yaron.
Yaron Daniely: Thank you, Tomer. I am now excited to share with you new data we have recently generated with shed additional light on the mechanism of action and neurological activity of MDX. The data will be presented by Dr. Jonathan Rubin our Chief Medical Officer. Jonathan, the floor is yours.
Jonathan Rubin: Thank you, Yaron and good morning, everyone. I am delighted to be here today to share with you exciting new information on the neurological activity of MDX and its potential to address cognitive impairment. We've been interested in learning more about the brain activity associated with MDX administration. Although we have a robust set of clinical data we recently decided to launch a pharmacological MRI study in rats to evaluate the regions of the brain that are modulated by MDX. I invite you to review the slides on the webcast as I walk through these data. Pharmacological MRI is a widely used imaging technique to investigate alternations in brain function following treatment with pharmaceutical in comparison to brain function following treatment with placebo-control. Pharmacological MRI data in animals and humans has been reported with many CNS active compounds including most approved ADHD pharmacotherapy. We have recently completed a study with the objective of evaluating brain response to a single administration of Metadoxine in awake rats. The study was conducted by a CRO as a center for translation neuroimaging and North Eastern University in Boston. 36 adult male rats were trained on imaging device for five days before the test day in order to reduce the stress induced response during the actual imaging capture. The experiment included three treatment arms; a placebo group, a low dose group corresponding approximately to the 700 mg MDX dose in humans and a high dose group, corresponding approximately to the 1400 mg MDX dose in humans. Technical details regarding the imaging protocol and data analysis can be found in various publications on the conduct of pharmacological MRI studies references for which are available on the slide. Blood oxygen level dependent or BOL MRI imaging is a measure of brain oxygen levels that is related to change in brain activity. Positive changes in both contrasts reflects an increase in neuronal activity on negative both contrast effects indicate decreased neuronal activity. BOL pharmacological MRI was employed in this study to evaluate 170 different areas of the brain for activation or deactivation following placebo or drug administration. The next slide includes the list of the 35 regions in the brain that has statistically significant BOL findings. Only 35 regions of the 170 regions studies showed a statistically significant change in this placebo-controlled study. As you can see, the MRI fingerprint or Metadoxine as a significant dose-dependent decrease in both signal in 28 regions out of the 170 regions evaluated. One of the areas displaying a statistically significant reduction in neurological signaling was the pre-front of cortex or PSC, a region implicated in ADHD. Only seven areas out of 170 showed a statistically significant increase in BOL response two of them being the central nucleus of the amygdala and the lateral hypothalamus. Importantly none of the mesolimbic dopamine system brain region such as the nucleus accumbens known to be involved in the reinforcing effects of scheduled drugs were significantly affected by Metadoxine at any dose level. This is consistent with data we have previously reported showing minimal liking of Metadoxine in established animal models. To summarize, Metadoxine produces a specific and extensive effect in brain areas related to executive function, learning and memory, motivation, information integration and processing, attention and cognition. The effected regions are interconnected having multiple neuroanatomical and neurofunctional interactions. These neural circuits have been reported to be disregulated in cognitive dysfunction and over-activation of these brain regions has started to contribute to the passive physiology of ADHD. A functional decrease in these neural circuits mediated by Metadoxines may help ADHD patients filter unnecessary sensory stimuli and maybe related to the clinical benefit we have consistently observed. These findings further strengthen and extend our previous data demonstrating a novel monoamine-independent mechanism of action of Metadoxine characterized by GABAergic inhibitory transmission modulation. Thank you for your attention. I will hand it over back to Yaron now for his final comments.
Yaron Daniely: Thank you, Jonathan. In conclusion, I want to thank all of you for participating in today’s call. Alcobra and it's shareholders are on the verge of exiting times as we continue to generate data establishing MDX as a novel and effective compound, showing rapid cognitive effects together with favorable tolerability. We expect to provide multiple meaningful data readouts in the coming month; first with our Phase III adult ADHD study later in this quarter followed by our Phase IIb pediatric ADHD study and our Phase IIb study in adolescents and adults with Fragile X syndrome. I will now turn the call back to the operator for the Q&A session.
Operator: Thank you. [Operator instructions] Our first question is from Annabel Samimy with Stifel. Your line is open.
Annabel Samimy – Stifel Nicolaus: Hi. Good morning. Thanks for taking my questions. I actually had a question for Dr. Rubin. I am not professing to be a neuroscientist or anything, but can you just help us understand, my understanding is that the prefrontal cortex was involved in a lot of executive function activities and the amygdala is more like an emotional response. Can you just help us understand why increasing or decreasing stimulus in these areas should help?
Jonathan Rubin: Yes. So you’re correct actually in both regards. The prefrontal cortex has many activities including regulating attention also regulating emotion. Amygdala is a site for regulating emotion, fear as well as anxiety and regulation of the prefrontal cortex could help to reduce the hyperarousal or hyperactive state and that also can be associated with improvement of function in amygdala as well.
Annabel Samimy – Stifel Nicolaus: Okay, nice say. All right, I guess maybe this next question is for Yaron, if I am understanding correctly, I guess the timing of enrolment of both the pediatric and the Fragile X studies, it looks like its -- we're not going to be seeing data now until 2015.
Yaron Daniely: I wouldn’t say that. I would be careful. We certainly expect to fully enroll these studies, both these studies by the end of this year and at this time, we’re still anticipating to be able to report topline data. Of course when we have yet to randomize our first patient, we’re expecting both these studies to be randomized in patients this month and depending on the rate of recruitment, we’ll be at a better position, maybe a month or two from now to say whether we’re going to be reporting data by the end of this year or maybe shortly after the new year. Given the rapid recruitment that we’ve seen in our previous ADHD trial and given the lack of significant competition in Fragile X studies with these top U.S. sites we may be seeing rapid recruitment that would allow us to both complete and report the data by the end of the year. So I would say that at this point our plans have not changed to enroll and report data and we will provide core guidance and update as these trials continue to randomize.
Annabel Samimy – Stifel Nicolaus: Okay. And then one more on the Phase III, I am glad to hear that you’ve got 39% of permanently inattentive patients in your trial. How does that change the time from the base that you expect or that you designed the study for?
Yaron Daniely: So if you run the numbers with a 116 predominantly inattentive ADHD patients, if you keep the effect size at the conservative 0.6 level, it's now powered to over 90%. Of course if you -- you can, I guess reduce the power meaning go down let's say to 85% and at that, level you could actually have a lower effect size like a 0.5 effect size. So power and effect size of course are related. But if you stick with the -- within the hypothesis that this trial will show at least a 0.6 effect compared to the 0.9, which was shown in the recent -- in the Phase IIb study, the 0.6 effect size given 116 patients is now powered at 90% instead of 85%, which was powered before.
Annabel Samimy – Stifel Nicolaus: Okay. Great. All right, thank you very much.
Yaron Daniely: Sure.
Operator: Thank you and our next question is from Charles Duncan with Piper Jaffray. Your line is open.
Charles Duncan - Piper Jaffray: Good morning guys and thanks for taking my question and congrats on the progress in the quarter with the enrolment. Yaron, quick question regarding that Phase III and I too appreciate the color on the enrolled patient population. I guess I am wondering if you mentioned the prespecified statistical analysis; will those results be available at the time that you readout the study and at the PR or will only be that kind of topline intent to treat population?
Yaron Daniely: Thanks Charles. Yes, we expect the results at the very least on the primary endpoint and the key secondary endpoint, which are both the CARS evaluation at week six for the overall ADHD population and the predominantly inattentive ADHD population to be available at the same time by the end of this quarter. So both of these would be available at the same time. There may be additional readouts as well.
Charles Duncan - Piper Jaffray: Okay. That’s helpful and then if I were just being a paranoid sell-side analyst, assume that the trial only read out in predominantly independent and not the combined type, would that impact the design of the Phase III that you’re planning on doing -- comparing to Strattera and have you discussed this scenario with the FDA?
Yaron Daniely: Yes, so I’ll be careful about it because we don’t normally disclose details of our discussions with regulatory agencies. We have discussed the Phase IIb finding of the differential effect on predominantly inattentive ADHD. This was the study that was not powered to show these differences, but the market effect on the predominantly inattentive ADHD was certainly not ignored by the agency. We believe that a hit or a success on the secondary endpoint for predominantly inattentive ADHD patients in the current Phase III study is likely to drive a statistical significance of the overall study as well. Having said that, if the entire clinical benefit and the favorable response is emanating from the predominantly inattentive population, there is a route with the agency to develop the remaining clinical development program for that subtype as well. It would not change the design of the study necessarily, the primary endpoint, the number of patients etcetera, but it could affect the inclusion-exclusion criteria for example, focusing on that subject. That remains to be seen.
Charles Duncan - Piper Jaffray: Okay. That makes sense. And then final question regarding and I know this is jumping way ahead, but if that scenario arose, would you -- would that impact the label that you would seek and i.e. would you seek a class label or would you seek one that is targeted at a certain patient population and could that actually be a positive or would it in some way give you some competitive advantage in the market?
Yaron Daniely: Well, the best person to answer that is not on the call today. It’s Mr. David Baker, our Chief Commercial Officer, but David once told me that if there was a way to bake in our value proposition into the label that would be a marketer’s dream come true and I believe if this drug was uniquely identified as a highly beneficial predominantly inattentive drug and it clearly would be on the label, that would actually be a marketing advantage and not a disadvantage. I’ll remind you that with the adult market becoming the predominant market over the next few years in a multibillion dollar market and the predominantly inattentive population being about half of that market having a kind of first line well positioned drug that addresses that population could be a significant benefit.
Charles Duncan - Piper Jaffray: Okay. Thanks for the added color.
Operator: Thank you. Our next question is from John Newman with Canaccord. Your line is open.
John Newman – Canaccord Genuity: Hi guys. Thanks for taking the question. So the question for Yaron and I guess it’s a follow-up to Charles question that is if for whatever reason the data readout that we see here in the coming weeks shows a strong effect in primary inattentive, but did not hit on the overall endpoint, would you still feel comfortable I guess moving forward specifically in primary inattentive and foregoing the larger opportunity and have you discussed this kind of idea with the agency or has it sort of been broader discussions at this point? Thanks.
Yaron Daniely: Thanks John. No this discussion took place with the agency. This is how the design and the powering of the study was assembled so that it is large enough to not only look at effect sizes and powering assumptions for the overall population, but also look specifically at the drivers of that effect size on the two ADHD subtypes. And again despite the fact that you heard me say that numerous times that I believe that a statistically significant effect on the PI ADHD population should and will drive a statistical significant effect on the overall population simply by statistics and the numbering perspective. We do have in place the pathway to decide on focusing on the predominantly inattentive population in the consequent second Phase III study.
John Newman – Canaccord Genuity: Okay. And when you report topline data, can you give us a sense as to what you might talk about in terms of the safety profile?
Yaron Daniely: I think that whatever information in broad range including discontinuation, significant adverse events and most common adverse events, we could discuss -- we have that information now in a broad way for the blinded study and we’re able to some safety cut, again particularly for the most abundant and any serious adverse events if there are any in this study.
John Newman – Canaccord Genuity: And assuming that the data readout positively, do you think that could accelerate the enrolment in your pediatric study?
Yaron Daniely: So we don’t anticipate any slowness in the pediatric study. Our expectation is that given the opportunity to enroll in a study with a nonscheduled novel agent, parents of adolescent subjects with ADHD are very keen on enrolling in the study. So I guess you can accelerate an already accelerated recruitment, but I don’t think that would necessarily affect or it would need to affect the pace of recruitment in that study.
John Newman – Canaccord Genuity: Okay, great. Thank you.
Yaron Daniely: Sure.
Operator: Thank you and our next question is from Jason Butler with JMP Securities. Your line is open.
Unidentified Analyst: Hi this is [Caroline] (ph) in for Jason. So the pharmacological MRI was conducted in rats. How predictive do you believe MDX activity in rats is for humans and then also if you could elaborate on the predictive value of these kinds of data for other drugs in ADHD and other diseases as well? Thanks.
Yaron Daniely: Thanks Carolina. Let me hand it over to Jonathan to comment on that question.
Jonathan Rubin: So I would view this data as supportive of our mechanism and another piece in the puzzle that suggests that we could work for ADHD. So this shows that we -- our drug is active in areas that are associated with ADHD. There are profiles not mentioned previously, but our profile is to some extent consistent with other ADHD medications, what’s been observed in pharmacological MRI studies in rats. But we also have certain differences, which I did mention, notably the lack of effect on the mesolimbic system. So it suggests that we -- the commonality but important difference is put up as a distinct therapeutic option for ADHD. The bottom-line now is that this is supportive evidence and that we have to show clinical evidence in our Phase III study.
Unidentified Analyst: Right, thanks.
Operator: Thank you. [Operator Instructions] And our next question is from Debjit Chattopadhyay with Roth Capital. Your line is open.
Debjit Chattopadhyay - Roth Capital:
.:
Yaron Daniely: Okay, so two separate questions. The first question, this is a study in ages 13 to 18, so it's pediatric because it’s sub18, that’s how FDA views it but first in the adolescent population, historically studies in ADHD have been separately done for pediatric 6 to 12 and adolescent 13 to 18. So our first venture into sub18 or non-adult is in the adolescents. They also have relatively high rates of predominantly inattentive patients and this is how we decided to move forward into that pediatric investigation. In terms of the formulation challenges, I am not quite sure that I understand your question. The Metadoxine oral tablet is a bilayer tablet that has a layer of immediate relief and a layer of slow relief that are engineered to provide a birth effect that is then taken over by its slow release effect to last throughout the day. We can make those tablets as large as we need for the adult dosing and as small as we need for pediatric dosing. We've described before that we’re developing microcapsules and other formulations for even younger population such as young kids and we have done that and continue to work on that for both the younger ADHD population as well as the Fragile X population.
Debjit Chattopadhyay - Roth Capital: Yes, that’s what I was trying to go at. The younger population given that it’s a fairly large pill size when you talk about the 1400 mg pill right, so given that younger kids normally do have swallowing issues, smaller tablet so I was just going towards that and I wasn’t sure the Phase II population, was whether it was 13 and higher, which kind of takes out that formulation challenge out of the question. Now going back to the Phase III study, the Phase IIb study in adults, the effect size of 0.4 that you mentioned in the combined subtype, could you remind us how tight the confidence intervals were in that subgroup of patients and how that could impact a 0.3 assumption in the Phase III study?
Yaron Daniely: So just to -- I want to clarify one thing on your last question and one thing in your current question. On the last question, just so you are aware, the 1400 mg dose is an adult dose. The pediatric dose is reduced from that. So they’re not taking the adult dose even at that what quote unquote, “what you suggested a large tablet” that’s not the tablet size that will be used in the adolescent study. With regards to your question on the effect size in the Phase IIb, the effect size of 0.4 was not on the combined type, it was on the overall patient population. So it was an [all commerce] (ph) basically on the intent to treat analysis of 113 subjects out of 120. The effect size on the predominantly inattentive was 0.9 and the effect size on the combined type population was I think only about 0.2. I don’t have the data files in front of me but I am happy to go back and relate that. I am sure that it’s provided in one or both of our publications on this study in the Journal of Clinical Psychiatry and the Journal of Postgraduate Medicine.
Debjit Chattopadhyay - Roth Capital: Thanks Yaron.
Yaron Daniely: Sure.
Operator: Thank you. And I am not showing any more questions at this time, and I would now like to turn the conference back over to Yaron Daniely, CEO of Alcobra.
Yaron Daniely: Thank you, operator. So thanks everyone for joining us this morning. We look forward to continue to communicate with you as we finalize our work in starting to report data later this quarter. Thank you.
Operator: Ladies and gentleman, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a great day.